Operator: Good morning and welcome to the KKR Real Estate Finance Trust Inc. First Quarter 2022 financial results conference call. All participants will be in listen only mode. Should you need assistance please signal conference specialist by pressing the star key followed by zero. After today’s presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Jack Switala, please go ahead.
Jack Switala: Thank you, operator. Welcome to the KKR Real Estate Finance Trust earnings call for the first quarter of 2022. As the operator mentioned, this is Jack Switala. Today, I’m joined on the call by our CEO Matt Salem, our President and COO, Patrick Matson and our CFO, Kendra Decious. I would like to remind everyone that we will refer to certain non-GAAP financial measures on the call, which are reconciled to GAAP for years in our earnings release and in the supplementary presentation, both of which are available on the investor relations portion of our website. This call will also contain certain forward-looking statements which do not guarantee future events or performance. Please refer to our most recently filed 10-Q for cautionary factors related to these statements. Before I turn the call over to Matt, I’ll provide a brief recap of our results. For the first quarter of 2022, we reported GAAP net income of $29.8 million or $0.47 per basic share, and $0.46 per diluted share. Distributable earnings this quarter were $29.8 million, or $0.47 per share, covering our $0.43 per share of Q1 dividend. Book value per share as of March 31, 2022 increased to $19.46, which includes the cumulative Cecil impact of $0.33 per share as compared to $19.37 as of December 31. This increase in book value was driven by strong portfolio performance, coupled with an accretive equity offering in the first quarter. This is the eighth consecutive quarter in which we have grown book value per share. Finally, in mid April, we paid a cash dividend of $0.43 per common share with respect to the first quarter. Based on yesterday’s closing price, the dividend reflects an annualized yield of 8.7%. With that, I would now like to turn the call over to Matt.
Matt Salem: Thanks, Jack. Good morning, everyone. And thank you for joining us today. Let me start today’s call by welcoming Kendra Decious to the K rep team as our Chief Financial Officer. Kendra is a KKR veteran, having joined the firm in 2006 and most recently served as the Managing Director, and KKR’s finance group. We often talk about the benefits of K RAS integration within KKR, which range from sharing views with our macro and real estate equity teams. Differentiated financing by partnering with KKR capital markets. We also benefit greatly from a deep bench of talent. And having Kendra join our leadership team is a great example of that. Now turning to the first quarter, K rep delivered strong financial results with distributable earnings of $0.47 per share, covering our $0.43 per share dividend. And we grew our book value for the eighth consecutive quarter. We also had a strong investing quarter, originating nine senior loans, totaling $844 million, bringing our total funded portfolio to a record $7.25 billion, up 36% on a year-over-year basis. Multifamily loans represented 55% of our Q1 origination commitments and continues to be the largest property type in our portfolio. In addition to multifamily, we are placing emphasis on other strong performing property types, demonstrating the highest rent growth, which includes industrial and life sciences. These property types represented 18% and 15% of our first quarter originations respectively. In the first quarter, increased volatility and heightened geopolitical risks created a more conservative lending environment. Rates in the senior secured CRE lending market widened slightly by approximately 25 basis points relative to the fourth quarter. We are lending with more conservative terms and structure. We believe our lending strategy offers strong risk adjusted returns in this environment. Our focus on first mortgage loans secured by high quality real estate owned by institutional sponsors provides a defensive investment with significant equity cushion. And our returns also benefit from the steepening of the front end of the yield curve. Pipelines remain strong with the increase in activity from larger sponsors seeking a balance sheet solution to avoid the volatility in the single asset single borrower CMBS market. Increases in market rents have also created more transitional lending opportunities for K Rep as sponsors need more time to convert in place rent to market. This has been particularly pronounced in the multifamily and industrial sectors. In short, now is a good time to be making loans. And we’re well capitalized to do so with over 750 million of liquidity as of quarter end. As we look at our pipeline, we continue to see strong activity and have approximately 1.3 billion of loans either closed or under exclusivity subsequent to quarter end. Throughout 2021, we generated mid teens ROEs as rates declined due to our in place rate floors on our loan portfolio while our liabilities in large part were not subject to rate floors. As those loans with higher floors have repaid, we now feel our earnings are in our neutral to minor increases in rates. And based on the forward curve, we would expect earnings become positively correlated with rate increases in the second half of this year. Finally, in Q1, we received 282 million driven by four repayments. Given our strong origination volumes and modest repayments, our growth trend continued with net funding of 462 million. We expect to continue to match our repayments with attractive origination opportunities and feel we are well positioned in the current lending environment. With that, I will turn the call over to Patrick.
Patrick Mattson: Thank you, Matt and good morning, everyone. I’ll focus today on our efforts on the capital and liquidity front. Some updates on our watch list and the progress we’re making around the LIBOR to SOFR transition. We had a very active first quarter across the entire capital base. On the liability front, there were three notable transactions, all of which enhanced our market leading liability structure. First, we successfully priced a new $1 billion CRE CLO in February. The CLO issuance which allowed us to continue to grow our brand in the market is supported by 100% multifamily properties and achieved investment grade advanced rate of 84.75%. This CLO priced at a running cost of capital of SOFR plus 171 basis points, and features a two year reinvestment period. Second, in March, we upsize the bespoke fully non mark-to-market facility from 500 million to 750 million, which features three years of availability and match term financing. And finally, also in March, we upsized our existing revolving credit facility from 335 million to 520 million and extended the maturity date with a new five year term. And subsequent to quarter end, we further increased the size of the revolver to our target 610 million. These achievements increased our fully non mark-to-market financing to 79% as of quarter end, with the remaining 21% balance only subject to credit marks. We also made significant progress on the equity front. First, we raised 151 million in net proceeds through a follow on issuance of our series A preferred shares at a fixed for light cost of six and a half percent. Additionally, we raised 134 million of net proceeds through a common equity offering, which is accretive to book value by $0.11 per share. This increase of 285 million in permanent equity in 1Q decreased our total leverage ratio from 3.7 times as of yearend to 3.2 times at quarter end. We are continuing to deploy proceeds from this recent equity offering and would expect leverage to increase back to the target in the mid to high three times range over Q2 and into Q3. Our liquidity position remains very strong and exceeded 750 million as of quarter end. This total included over 170 million in cash and 520 million in undrawn corporate revolver capacity available to us as of quarter end. In addition to this, we have 377 million of unencumbered and unpledged senior loans. As Matt mentioned previously, we have the opportunity to generate attractive risk adjusted returns in the current market environment given our strong liquidity position. I also want to update on our watch list. The current portfolio has a risk rating of 2.9 on a five point scale, in line with last quarter and 95% of our loans are risk rated three or better, relative to 94% last quarter. Quarter-over-quarter our watch list has decreased by net 40 million on a committed basis. Three assets came off the watch list this quarter. First in January our four rated Brooklyn based hospitality loan which was originated in January 2019 was repaid in full through a property refinance with a large money center bank. Second, in February, we originated a new loan to finance the acquisition of the Queen’s industrial property with a new sponsor coming in with fresh equity. Third, good progress has been made at our 107 unit New York condo conversion loan and we reduced the loans risk rating from a four to a three and removed the loan from the watch list. In terms of the asset that remains and assets that have been added to the watch list, our New York luxury condo loan remains on the list. As a reminder, this loan had initial balance of 240 million and is paid down to 32 million. And we were in well margin to where recent sales have been. Just four units remain to be sold with one unit under contract. Lastly, we’ve added two office loans based in Philadelphia to our watch list. Both loans are performing with in-place occupancy to very strong sponsors. We placed these loans on the watch list to reflect softer office leasing velocity within the broader Philadelphia MSA. Finally, we made strides on the LIBOR to SOFR transition with the goal of mitigating basis risk throughout this transition period. As of quarter end 25% of our floating rate liabilities were SOFR based and 13% of our assets were SOFR based. We expect the transition to SOFR to be non material to us from an earnings perspective. In summary, K rep finished the quarter with a record 7.25 billion total funded portfolio, which has grown by 36% on a year over year basis. We originated nine senior floating rate loans in Q1 for over 840 million and grew the funding portfolio by 462 million. We expanded our permanent equity base by 21% to 1.65 billion and executed on a CLO upsize a bespoke non mark to market financing facility and upsized our revolving credit facility by 275 million to a total of 610 million post quarter end. We grew book value per share by $0.09 per share. Finally, we have ample liquidity to capitalize on the current market backdrop. And we feel we are well positioned to generate attractive, risk adjusted returns in today’s lending market. Thank you for joining us today. And now we’re happy to take your questions.
Operator: Thank you. We will now begin the question and answer session. . And the first question will be from Jade Rahmani with KBW, please go ahead.
Jade Rahmani: Thank you very much. Can you talk to the tone in the current market and what you’re seeing from borrowers as well as competitor lenders? And also did your pace of originations underperform perhaps your estimates relative to where you said, loans and closing were at the last quarter’s comments?
Matt Salem: Hi Jade it’s Matt, thank you for the question. It’s good to hear from you. Just on terms of the tone in the market. I think clearly we’re seeing at the macro level, a lot of uncertainty as it relates to inflation as it relates to short term interest rate increases, certainly geopolitical environment. And then when you look down at the real estate level, things feel pretty healthy, especially in the growth sectors, with some pretty substantial rent increases across a lot of the property types that we invest in. And so what we’re seeing in the market, from our borrowers is trying to navigate that dichotomy and trying to understand what is going to be the long term impact on or short term impact on real estate fundamentals and values. But I think we’re still seeing an increase in allocation to real estate, if you think about some of the inflation prints that we’ve seen in the market, people view real estate as an inflation hedge as a good investment within an inflationary environment. So there’s still a lot of demand for real estate, and it’s a very active acquisition market today as well. On the lending side, it’s more cautious today for sure. You’ve seen the CMBS market re-price pretty substantially in line with other capital markets. That’s got a little bit of a knock on effect on the balance sheet. Lenders as you start to see more supply come out of the securitized markets into our market. And we’re certainly looking at a number of opportunities that wouldn’t historically be in the capital market space. So, from a lender’s perspective, it’s certainly as we mentioned in our comments, there’s more structure, there’s a reduction in leverage and an overall more cautious tone. But whether it’s in the security space or in the lending space, everything is functioning. So you can execute in either market, but it’s just a little bit, obviously a little bit more costly and it’s got more structure attached to it. And then on the, I think you’d ask around the originations as well. We said, we originated around a billion dollars a quarter, we were slightly under that in the first quarter. And it’s always hard to predict, obviously, in land that exactly. And then you can see where we signed up with in the second quarter. And if you add them together, it’s pretty close to that billion dollars quarter. So it may be slightly behind the first quarter. But there are a number of factors in play, obviously, the macro environment was changing. And so we were mindful of that, and just watching pacing a little bit, the equity raise that we did was towards the back half of the deployment schedule for the first quarter. So some of that capital probably wasn’t available to us. So it’s just a number of factors. But I think if you look across the year, we still feel pretty good about that that estimate. And obviously, when you add the two together, it gets close to those numbers.
Jade Rahmani: Thank you. The growth in the non traded REIT sector has been astonishing, I think, be REITs raising 3 billion a month, star with non traded REITs rising, I don’t know a billion a month maybe. And Blackstone seems to announce a new REIT acquisition every week, which probably has to continue for them to deploy that capital. What impact on the market, if any, do you believe that influence is having? And do you view it as a negative or positive or not really relevant to overall real estate? I mean, the concern would be that they’re in fact setting pricing in some areas of the market, and that could be feeding into for example, for example, multifamily.
Matt Salem: Yes, I mean, I wouldn’t want to comment on how it’s impacting the broader real estate markets, I can tell you how it’s impacting real estate finance and the things that we do on a day to day basis. It’s creating just a lot more lending opportunity. If you think about the publicly traded REITs, historically, they would finance themselves, not through the CMBS market, not necessarily through the mortgage market, would, they would pretty heavily use corporate unsecured. And so you see the transfer of debt from that unsecured market into the end of the mortgage market. And I think that drove a lot of the issuance in sadly last in the single asset, single borrower CMBS market last year. And so we, locally sitting here, I think it’s a net positive, because it gives us more opportunities to lend to high quality sponsors, and they’re typically not, high leverage borrowers either. So it’s a relatively safe lending profile. And if you take one step back out of K rep and think about what we’re doing across our picket our real estate credit platform, with the insurance capital have with securities capital that we have, it certainly created a good investing environment for the debt side of our business.
Jade Rahmani: Okay, so you’re saying that you are lending to them? I don’t think that the negative it’s positive, probably because they are very low leverage. But is that what you’re saying?
Matt Salem: Yes, it’s great lending opportunities for in that life investing opportunities for us both on the direct lending side as well as on the securities investing side away from K rep and some of the private funds that we manage.
Operator: The next question will be from Stephen Laws from Raymond James, please go ahead.
Stephen Laws: Hi, good morning, Matt, one started, kind of bigger picture a lot moving around with asset yields, interest rate, financing costs, etc. So can you maybe walk through ROE on a, say a new dollar put into a senior loan multifamily today versus kind of how that hourly build looked in the fall, maybe looking at, coupon financing cost and the leverage, you can get, either to CLOs here your counterparties.
Matt Salem: Yes, Stephen, thank you for the question. I can take a shot at that. I think that the math is relatively straightforward. I would say asset and liability spreads have widened, call it 25 or so basis points on the year. So those are largely offsetting leverage available to us as a borrower is largely unchanged. And you do have to seek financing in other places so there’s more dispersion in the cost of financing today like if you see a low market obviously is the wider end of pricing. But there are certainly other alternatives that that you can use that haven’t widened out as materially. So you have to be a little bit more discerning in where you’re borrowing. But overall, I would say from an ROE basis, most of the impact we’re seeing is really from the forward curve. And a little bit more obviously, conservative lending environment for what we’re doing and so we’re thinking about ROEs now call it probably up 100 or so basis points, maybe slightly more from the fall of last year, the posture of the market, just away from ROEs as we mentioned in our call, the posture of the lending market is certainly very different than the fall of last year. And there’s much more conservatism in the market today. And it’s kind of a little bit more of a lenders market, if you will.
Stephen Laws: Great, thanks for those comments, Matt. Patrick, shifting to the interest rate sensitivity, appreciate the disclosure you guys provide. Certainly, it’ll become a tailwind here soon, with our information, we tend to do more things on average, but trying to think about any lumpiness in that, are there any large loans that could repay that have significant in the money floors, or anything we need to look at from a lumpiness in a more sensitivity standpoint?
Patrick Mattson: Sure. Good morning, Stephen. Thanks for the question. I think that’s right where we’d have some sensitivity is to the positive, meaning that we still have a few larger loans that have higher LIBOR floors. And as we forecast over the course of this year and beyond, those are, as you can imagine, some of the loans that are expected to be repaid. So we think that there’s modest improvement as those loans get repaid. Obviously, keep in mind that as we make any new loans, those new loans are said that, floors that are at spot or below sort of spot rate. So they’re 100% sensitive to the rate movements. So this is a snapshot, obviously as of the first quarter. But as we think into the second quarter, two factors are happening. One, rates are going higher. And so you think about the chart, we’re kind of shifting our starting point to the right a little bit. And second, we’re increasingly turning over those LIBOR loans into new SOFR loans, which also should have a positive, bend to the outlook on this chart in subsequent quarters.
Stephen Laws: Great, appreciate the comments, Patrick, thanks for taking my questions this morning. Thank you.
Operator: The next question is from Don Fandetti with Wells Fargo. Please go ahead.
Don Fandetti: Yes. Can you talk a little bit about the two Philadelphia office buildings that were added to the watch list that just a situation where the business plans are a little behind schedule isn’t pandemic related? And then maybe just broader comments on office? Do you sort of, do you think there’s still risk of like these laggard office credit popping up until the watch list?
Matt Salem: Thank you for joining us. And thanks for the question. A couple comments on the two we added. They were both called light value add lease up plays are typical, pretty typical for the office profile lending we would do. And it was a COVID related. I certainly think COVID had an impact on office leasing overall and certainly within the Philadelphia market. So I think that it’s hard to say that wasn’t impacted by that. And why we put them in our watch list, because we haven’t seen progress on the leasing front there. So certainly, the business plans are a little bit behind but not materially but a little bit behind what we would have projected or budgeted from a leasing perspective. The occupancies are similar to where we originally went on them. Both I would say have significant cash equity behind us in terms of at closing capital contributions from sponsors. So we’ll continue to monitor those and keep everyone updated. Overall, I’d say on the office sector, it still feels pretty bifurcated, the growth markets and high quality assets. We’re seeing a pretty strong leasing demand in those areas. Whereas as you get into the more stagnant markets or Class B type of office, that’s really where you’re seeing the least amount of, of need for space. And I do think that will continue to play through play through the market. And that’s our expectation going forward.
Operator: Thank you. And the next question will come from Rick Shane from JP Morgan, please go ahead.
Rick Shane: Look, you’ve talked a great deal about your emphasis on multifamily and real life science. And obviously, you continue to participate in all segments of the market. I’m curious given the competition in sort of think of it on a continual basis for multifamily down to probably office or it’s at the other end? Can you talk a little bit about how the competitive landscape and how that is? Impacts deal term and pricing? So what would you expect the differential to be at different parts of the continuum?
Matt Salem: Rick It’s Matt, I can try to take that. It’s interesting. And I’ll kind of give you the update locally here. And what we’re seeing and clearly we’re operating an environment that has more uncertainty than the past. Overall, it feels like leverage has dialed back, call it 5% or so across all property types. But I think you were asking more about the relative continuum between office or multifamily at one end and office on the other. I would say that, generally speaking, that continuum is probably not as wide as you think, from a leverage perspective. Multifamily is currently in that maybe high 60s to 70% LTV on a transitional asset again dialed back about 5% from the end of last year. And office leverage depends on the amount of transition but you’re probably thinking more around 60 to 65% leverage. Again, every office is going to be pretty unique. But if you’ve got in place, a lot of employees tenancy and, and you’ve got some duration to that to those leases. And you could certainly see a 65% leverage profile. And then from a cost of capital perspective, multifamily is at the tight end of the range. We’re seeing that pricing and today’s market in the called very high twos over SOFR offices clearly has three handle on it. So again, a little bit depending on leverage, but call it low to mid threes would probably be the office, quote, depending on the dynamic there. So hopefully that gives you a little bit of the range in terms of multifamily and office and I would say, industrial is pricing somewhere in the middle, but probably closer to the multifamily end of things than the office.
Rick Shane: Now, it’s a great answer. I really appreciate the effort to be that specific. So thank you very much.
Operator: And the next question will be from Steve Delaney with JMP Securities, please go ahead.
Steve Delaney: Thanks. So congratulations on strong quarter dividend coverage and also the capital markets activity. Let me start with capital markets, the depressed deal, the common deal, I guess, 280 some billion combined. So a direct linkage in terms of bad equity formation to your ability to increase your revolver and your term loan facility the way you did in the quarter.
Patrick Mattson: It’s Patrick. Hi, there. Certainly. I mean, I think as you looked at what we’ve done over the last couple of years, as we’ve grown the equity base, we’ve gone back to a number of our facilities. There were two examples of that this quarter both on the non mark to market facility which we grew from 500 to 750, but also the revolver which we grew from 335 to 610, subsequent to quarter end. So certainly, we think about as we increase equity, our ability to increase our liabilities. We did that in the fall with the term loan B, we had a $300 million term loan B that we re-priced and then upsize an additional 50 million. So I think as you see us continue to grow the company will have opportunities to size up the debt pieces that we have in place. We are still very focused on diversity, and so we’re not done evolving and continuing to innovate on the financing side. And so we’ll continue to look to add other sources of financing. But clearly growing some of the existing facilities that we have, through the relationship at KKR capital markets is, one of our top goals.
Steve Delaney: Great, Yes. And as I looked over it, I was thinking, okay, you’ve really got your 79% non mark to market, you’ve got a lot of diversity in the funding. And if I see, any kind of a gap, or let’s call it an opportunity, you do have the one small convert, but I’m curious if you would, you’re watching the high yield, notes market, another convert, and with the objective of obtaining some fixed rate, funding, which would clearly makes you more asset sensitive.
Patrick Mattson: Sure, I mean, those markets, the two that you mentioned, are ones that we track, we watch closely and I think, going forward, we’ll be opportunistic, and thinking about having, how to access those.
Operator: The next question is from Eric Hagen with BTIG. Please go ahead.
Eric Hagen: I think I have a couple. First, just want to ask about the coupon spread on the multifamily loans you originated in April, and may be understand a little bit more about what’s driving that to come in a little tighter than the spread you have in the back book. And then on the conditions in the CLO market. I imagine that having the multifamily loans makes it easier to potentially issue going forward. But can you share some detail around how other loan types are financing for CLO right now?
Matt Salem: Yes, I could take the first part. Eric its Matt. Thanks for the question. You’re just on the multifamily deals that we did in April, I think these are generally in line with where we see current market spreads. I can go back and compare to what we did in the first quarter on the multifamily side. But, as I mentioned to Rick, I think we see that multifamily market from a spread perspective in that very high twos area. And so this is sort of in line with that. And then I’m sorry, can you repeat your second question?
Eric Hagen: Yes, just checking in on conditions in the CLO market. I mean, I imagine that having the multifamily loans makes it a little more seamless to potentially issue. Another deal going forward, but any detail around how other loan types are financing to CLO?
Patrick Mattson: Eric, its Patrick. I’ll take that question. I’m certainly, when I think about the range of assets that can be financed in the CLO market, it’s relatively wide. I mean, it fits all of the major asset types that, we think about from an asset selection standpoint, so multifamily office, life science, industrial, all readily financeable in the CLO market. We did the multifamily only CLO in the first quarter, and I think that was generally well received. And so that’s an obviously we’ll continue to have the benefit of that going forward from a reinvestment standpoint. But I think that the market is open to finance all of those property types. I think the range of capital structures in spreads differ a little bit and probably a different, there’s been more differentiation this year than we’ve seen in the past. And I think that’s not uncommon when you see spreads wide now, but I think if you look at where the asset coupons are for those different property types away from multifamily, they can still be financed relatively efficiently.
Operator:  The next question is a follow up from Jade Rahmani from KBW. Please go ahead.
Jade Rahmani: Thanks very much. Just to follow up on the watchlist loans, the two Philly loans were they put on watch list merely because the Philadelphia office market index slowed and that was what triggered that or their assets specific reasons for that?
Matt Salem: Really has to do with the business plan, just the leasing profile of each asset and we just haven’t seen a lot of net absorption or net positive leasing at each of the properties. So it’s obviously a comment on the broader Philadelphia market, but it’s flowing through to these assets in particular.
Jade Rahmani: And in your view does the Philadelphia office market represent more of that sluggish trend that we’re seeing in legacy office, where there isn’t that compelling need to be back in the office or is it a timing factor? What do you think the main explanation is?
Matt Salem: I think Philly is one of those markets that’s lagged and Philadelphia is one of those markets that’s lagged during COVID.
Operator: Ladies and gentlemen, this concludes our question and answer session. I would like to turn the conference back over to Jack Switala for any closing remarks.
Jack Switala: Great. Thanks, everyone, for joining today’s call. Please reach out to me or the team here with any follow up questions. Take care.
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.